Operator: Good afternoon. My name is Sylvie. And I would like to welcome everyone to the Bridgemarq Real Estate Services Inc. 2025 First Quarter Results Conference Call. Note that this call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. I would now like to introduce Mr. Spencer Enright, Chief Executive Officer of Bridgemarq Real Estate Services Inc. Mr. Enright, you may begin the conference.
Spencer Enright: Yes, thank you very much, operator. And good afternoon, everyone. And thanks for joining us on the call today. With me today is our Chief Financial Officer, Glen McMillan. I will begin with a brief overview of our company's first quarter results. Glenn will then discuss our financial results in more detail. And I'll conclude by providing some remarks on operational highlights, company updates and market development. Following our remarks, Glenn and I would be happy to take your questions. I want to remind you that some of the remarks expressed during this call may contain forward-looking statements. You should not place reliance on these forward-looking statements, because they involve known and unknown risks and uncertainties that may cause the actual results and performance of the company to differ materially from the anticipated future results expressed or implied by such forward-looking statements. I encourage everyone to review the cautionary language found in our news release and on all our regulatory filings. These can be found on our Web site and on SEDAR+. So we're pleased with the strong momentum we've created in the first month of 2025, especially given the significant slowdowns in our largest housing market and global uncertainty created by recent geopolitical events. Revenue for Q1 was $78 million compared to $11.9 million last year, which reflects the addition of the brokerage businesses that we acquired on March 31, 2024. At its meeting yesterday, our Board of Directors approved a dividend of $0.1125 per share payable on June 30th to shareholders of record on May 30th. This indicates an annualized dividend of $1.35 per share, which is consistent with last year's rate since 2024. And with that, I'll turn the call over to Glen for a closer look at our first quarter financial performance.
Glen McMillan: Thank you, Spencer. And good afternoon, everyone. As Spencer mentioned, revenue during the first three months of the year was $78 million, a significant increase over the $11.9 million reported in the first quarter of last year, reflecting the gross commission income from our brokerage operation. Franchise fees did increase marginally due to the benefit of fee increases that we implemented on January 1st. The number of realtors in our franchise and brokerage network sits at 20,845, a decline of 1% since the end of last year, a better performance than the overall market, which is down 3% as far as total agents. Our agent count includes 1,931 agents operating at the Royal LePage and Via Capitale brokerages and 708 at our Proprio Direct brokerage. In the first quarter, the company generated net earnings of $6 million compared to a net loss of $400,000 in 2024. And higher earnings are largely driven by a gain of $5.7 million on the fair valuation of the exchangeable units. Our adjusted net earnings, which considers our operating earnings before certain non-cash non-operating adjustment and payments to holders of exchangeable units amounted to $3.1 million for the first quarter, up from $2.4 million in the same quarter last year. The improvement reflects the addition of the operating results of the brokerage operations, lower interest expenses and lower impairment of intangible assets. Cash used in operating activity amounted to $1.3 million in the first quarter as a result of a $4.4 million seasonal increase in working capital. Last year, we generated cash from operating activities of $2.1 million. We also generated $4.1 million in free cash flow in Q1, a modest improvement from the $4 million generated in the same quarter last year. The Canadian residential real estate market contracted in the first quarter of 2025 closing at $66 billion, a decrease of 7% compared to the same period in 2024, driven by a 2% decline in the average selling price and a 5% decrease in unit sales. The Greater Toronto Area market was down 23% year-over-year, closing at $13.8 million. During that time, unit sales decreased 21% while the average selling price dipped 2%. The Greater Vancouver market was down 12% year-over-year closing at $6.7 billion, driven by a 7% decrease in unit sales and 5% decline in average selling price. And meanwhile, in the province of Quebec, the residential real estate market reported an increase of 22% in the first quarter compared to last year. This reflects a 13% increase in unit sales and a 9% increase in average selling price. Spencer will now provide some additional insights into the market and an update on our operation.
Spencer Enright: Thanks very much, Glenn. In the first quarter, market activity dropped by double digits and is the most expensive real estate region as we previously mentioned. The Greater Toronto and Greater Vancouver markets experienced a much softer than usual spring season. The slowdown is largely tied to weekend consumer confidence, driven by ongoing trade tensions in the United States that have raised concerns about the country's economic outlook. The Quebec market as we said showed strong growth in the quarter with significant improvements in both price and volume. It appears that the uncertainty created by recent trade talks has spurred the market [indiscernible] unlike the impact on the rest of the country. The Bank of Canada left the key lending rate unchanged at its last meeting marking the end of nearly a year of consecutive interest rate cuts. Central Bank emphasized that amid ongoing global economic uncertainty, forecasting GDP growth has become increasingly challenging and that the risk of inflation re-accelerating has risen. The overnight lending rate currently sits at 2.75% as the bank awaits greater clarity on the direction of the economy and how best to respond. In March, Canada's Consumer Price Index increased 2.3% year-over-year, down slightly from the 2.6% recorded in February but mainly due to the lower cost of travel and gasoline. This remains within the bank's target range of 2% to 3%. In its latest Labor Force Survey, Statistics Canada reported that the national unemployment rate rose by 0.2 percentage point to 6.9% in April, followed by a 0.1 percentage point increase in March. With these consecutive increases, the jobless rate has returned to levels last seen in November, the highest since January 2017. Given the current trade conflict with our southern neighbor, it is unclear what the Bank of Canada's next rate announcement will be. However, if consumer confidence improve, the modest increase in market activity could emerge in the latter half of the year. Now I'll give you a few updates on the company's operations. Over the last 12 months, our business has expanded significantly with the acquisition of several brokerages, including Via Capitale and Proprio Direct, as well as our corporately owned Royal LePage branch. Our diverse brand portfolio led by our 112 year strong flagship Canadian brand Royal LePage continues to attract and retain top real estate professionals across the country. And while our agent count was lower in the quarter, the reduction of 1% in our agent count was better than the 3% overall drop in the number of agents in the industry. We remain dedicated to advancing our industry leading technology platforms, particularly those designed for lead generation and client engagement. And we continue to improve our offering in best in class training and coaching program for our superior realtor network. During the first quarter, we launched the new Proudly Canadian national advertising campaign, highlighting Royal LePage's uniquely Canadian value proposition to both clients and prospects. In addition to a comprehensive digital advertising strategy, the campaign provides agents in our network with a suite of digital assets to showcase and amplify the brand's Canadian identity across various platforms. We continue to invest in enhancing our realtor's productivity through education and the use of artificial intelligence, a key focus for enhancing product efficiency and client service delivery. For example, realtors at Proprio Direct and those operating under the luxury banner Johnston & Daniel, benefit from new and ongoing support for AI integration, including marketing tools and recruiting resources. To enhance its public visibility, our Quebec based Via Capitale brand launched a comprehensive advertising campaign, including sponsorship of a popular television show, which has earned millions of impressions across a range of media platforms. By continuing to invest in these areas, we're driving the growth of our top performing brands, opening new avenues for success and increasing value for our shareholders. Through our broadened businesses and service offering, we are well positioned to continue to expand our reach across the Canadian real estate industry. Our ability to attract and support high performing real estate professionals remains a key driver of the long term value we offer our shareholders. And we are confident we are equipped to continue to drive and grow regardless of the market dynamics at play. With that, I'll turn the call back over to our operator and open the call to any questions you may have.
Operator: [Operator Instructions] First question will be from Jeff Fenwick at Cormark Securities.
Jeff Fenwick: I wanted to start my questioning off with the realtor base that's out there. And if you look over the last few quarters, that's been fully contracting. And just wondering if you could comment a little bit on the factors that might be driving that. And then looking forward, how much of a focus are you putting there on growing either the franchise network or potentially the broker network here?
Spencer Enright: So first of all, if you dial back a couple of years, we saw a significant increase in registrants in the industry. A lot of that was driven post pandemic to people looking at this as a new career. And so we saw a huge intake of new people looking to make realtor profession their new career. Since then, we've seen some moderation for that. It's not an easy business to be successful in. And so we've seen some moderation to that. I'd say, from our network standpoint, and I mentioned this at our AGM this morning, our realtors are 1.5 times more productive than the rest of the market. We have such an outstanding caliber of productive and successful realtors that we're not nearly as impacted by new entrants that have tried and not made a goal. But we certainly do have some attrition in our network but not anywhere near to the extent of what you see industry wide. And so that's one of the major, I think, factors that's impacting the industry and much less so ourselves.
Jeff Fenwick: And then, obviously, under the new structure, I think part of the business plan was to be a bit more focused on driving growth here. So just how do you approach sort of business development? Is it any different now or are you a bit more active in recruiting? Would you contemplate acquiring other brokerage platforms to expand your presence?
Spencer Enright: Recruiting is an ongoing effort by all of our brokerage operations. So every individual entrepreneur who's a franchisee for us recruits on a daily basis as well as our own employees in our corporately owned branch operation, that's kind of what I call organic recruiting. And you'll see in any given time, additions there all across the country. From a franchising standpoint, we do add new franchises. We added several in the last quarter across both the Via Capitale and Royal LePage. They factor into the total agent count numbers that we show. We don't necessarily highlight that as a separate growth path but we've seen a good success in new franchises across the country. And then in terms of any acquisitive growth, I wouldn't say that that's our core strategy for growth. It's certainly opportunistic, if it makes sense. But we've got the brands we need to cover every -- I would say, every need that either realtors or consumers are looking for in Canada. So we're not looking necessarily to add brands but we're looking to always add high quality realtors to our brand and our network. And then -- so I would say more of the organic side is our core focus and will continue to be for the balance of the year. And then from time to time, we will look at acquisitions of other brokerage operations but those are -- as they happen and we validate assess those on a case-by-case basis, there isn't necessarily a consistency to that or a predictability to that, it's when opportunities arise.
Jeff Fenwick: And then maybe you could comment just on your comfort with the run rate of the business versus the payout ratio. I know we've just come through a couple of seasonally weaker quarters so we're hoping that we'll see a nice step up in activity here through the spring and summer. But I did note that you drew $4 million on your operating line, payout ratio is still running above 100%. So I mean, I guess you have options of looking to obviously work on things like marketing and broker productivity. But how comfortable are you there and are there other areas maybe for some cost savings that might help you out as well?
Spencer Enright: So for sure, Jeff, I think what we see on a quarter-by-quarter basis, this is a cyclical business. Each quarter in a fiscal cycle will be different from the other ones. And what we see in the first quarter typically does have a robust spring market. We haven't seen as much of that as perhaps we would have liked to have seen or thought we would see in Toronto and Vancouver. But like as I mentioned, Quebec is very strong, outperforming expectations from a market standpoint. The majority of our cash flow is driven off of our franchise fee structures with our franchisees, very stable month by month. And so as we go through the year, we'll see each quarter contribute in a slightly different way to our whole year cash flows. But at this point, we're on target with where we expect it to be for the quarter. And we have to wait and see how quickly the markets rebound in Toronto and Vancouver. We're still very confident and bullish on the underlying macro factors affecting demand. Supply is still a constraint, still an issue. And while affordability is an issue, the demand for housing is very strong. So we do expect the markets to improve versus what we saw in the first quarter. And that will definitely help us generate more cash flow certainly in our brokerage operations as we go through the balance of the year.
Jeff Fenwick: And then maybe one, I guess it's related to broker productivity, which you mentioned you have a strength in. And I noted your commentary on the AI tools that you've been rolling out at Proprio. So what are the sort of plans there? That sounds like something that could certainly be very helpful. And is it a solution that you could roll out in time across the rest of your operations?
Spencer Enright: We've launched AI tools across all of our brands. I highlighted what we did on one, but really, it's happening everywhere. What we've seen, of course, is realtors, as they go about their business of securing clients, servicing those clients and helping Canadians find home of their dreams, that they're looking to engage and leverage technology as much as anyone. There's lots of ways to do that in the real estate industry. And so we're providing access tools, access to functionality, training those -- realtors on those, so they don't have to go through that learning and discovery phase on their own each individually. We're doing all that heavy lifting for them and then kind of giving it to them in terms of best practices and some guided training. But it's happening across the board. So in Royal LePage, for sure, we're doing a lot of that. And so I highlighted one but we're doing it everywhere.
Jeff Fenwick: And then maybe just one last one here. I noticed the -- it looks like the commission payout ratio was a little less than expected, meaning Bridgemarq retained a bit more of that -- those gross commission dollars in the quarter. Can you just remind us what the factors are there? Is it, I guess, it's maybe the mix of which brokerage groups are generating the revenue and they all have slightly different commission rates or is there some other factor there that would be impactful?
Spencer Enright: I'll turn it to Glen for some details. In broad terms, any given quarter compared to another, you're going to see mix variances. Mix in geography, because how much we get in terms of commissions but varies by region. Mix in which realtors are the ones that are doing the deals because we have different agreements with different realtors spending on their success and their productivity. But that's just more of a general sense. Glen, do you want to add to that?
Glen McMillan: The only thing I would really add is we talked on the franchise side of the business that there is on -- for variable franchise fees, there is the impact of capping that happened. And while it's much less common on the brokerage operations, we do have some -- and as Spencer said, the brokerage split plans are different by brokerage, by brand, by geography. It's a very complicated web. And we do have some that are subject to capping. And so that capping, we tend to see that in the fourth quarter, no capping in the first quarter, that's one.
Operator: [Operator Instructions] And at this time, Mr. Enright, we have no other phone questions.
Spencer Enright: Yes, terrific. Thanks, operator. Do we have any other questions?
Glen McMillan: There's no questions.
Spencer Enright: Okay. Thanks, Glen. Well, with that, first of all, I'd like to thank everybody once again for joining us on today's call. Look forward to speaking to you again after we release our Q2 results in August. Take care.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude the conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.